Operator: Good day everyone and welcome to the Global Ship Lease First Quarter 2012 conference call.  This call is being recorded.  Joining us on the call today are Ian Webber, Chief Executive Officer, and Susan Cook, Chief Financial Officer.  Following their prepared remarks, there will be a Q&A session.  Instructions will follow at that time.
 I would now turn the call over to Mr. Webber.  Please go ahead, sir. 
Ian Webber: Thank you.  Good morning everybody and thank you for joining us today.  As ever, I hope you’ve had a chance to look at the earnings release which we issued earlier this morning and also been able to access via our website the slides which accompany the call.
 Slides 1 and 2 remind you that the call today may include forward-looking statements that are based on current expectations and assumptions and are by their nature inherently uncertain and outside of the company’s control.  Actual results may differ materially from these forward-looking statements due to many factors, including those described in the Safe Harbor section of the slide presentation.  We also draw your attention to the risk factors section of our annual report on Form 20-F, which we filed on April 13 this year and which you can access via our website or via the SEC’s.  All of our statements are qualified by these and other disclosures in our reports filed with the SEC.  We do not undertake any duty to update the forward-looking statements.
 For reconciliations of the non-GAAP financial measures to which we will refer during this call to the most directly comparable measures calculated and presented in accordance with GAAP, you should refer to the earnings release that we issued earlier today.
 I’d like to start by reviewing the first quarter highlights, then move on to discuss our charter portfolio, including the two vessels that come off charter later this year.  Then after some comments on the industry overall, I’ll turn the call over to Susan to talk about our financials.  Finally after brief concluding remarks, we’ll open the call up for questions.
 Slide 3 shows the company’s first quarter highlights.  Our fleet generated strong financial results for the quarter based on high levels of utilization with all 17 of our vessels continuing to be secured on long-term fixed rate time charters.  We achieved revenue of $38.4 million and an EBITDA of $25.2 million during the quarter when we completed three of seven dry-docking schedules for 2012.  Taking into account these dry-dockings, our fleet utilization was 97% for the quarter, which is a direct result of our long-term fixed rate charter business and our well-maintained fleet.  Further, with three of our seven planned dry-dockings for the year now complete, we expect to see improved utilization for the remainder of 2012.
 We continue to strengthen our balance sheet by utilizing our free cash flow to pay down debt, $11.8 million in the period for a total debt repayment of $127.3 million since August of 2009.  As before, we have no purchase obligations and the maturity of our credit facility remains August 2016.
 Slide 4 provides a clearer picture of the stability of our business model with a historic look at our quarterly financial results.  Since our operations began in the first quarter of 2008, the industry has seen considerable volatility as evidenced by the time charter rate index at the top of the page.  Despite the cycles of the market, Global Ship Lease has continued to generate consistent financial results.  There has been very little fluctuation in revenue, EBITDA or operating income before impairment charges since our fleet expanded to 17 vessels in the third quarter of 2009, and our utilization has been consistently near 100% with any noticeable change due primarily to planned off-hire days for scheduled dry-dockings.
 Slide 5 provides an overview of our fleet and our charter profile, which supports our consistent and stable financial performance.  Our fleet of 17 container ships is relatively young with an average weighted age of 8.1 years against an economic life of 30 years.  Consistent with our risk-averse business model, all of our ships are chartered out on long-term fixed rate time charter contracts with an average remaining charter term of 8.1 years on a weighted basis.  In total, this represents $1.2 billion of contracted revenue.
 Over the next four years, we have minimal exposure to charter expirations.  As you can see on the bar chart, we’ve only got two vessels scheduled to come off charter before the end of 2016.  The earliest possible expiration dates for these two charters are September 20 and 21 of 2012, and the latest dates are March 19 and 20 of 2013 at the option of the charterer.  Given the contract rate of $28,500 per day is above today’s spot market, we would expect redelivery sooner rather than later in this period.  We have recently begun to discuss the possibility of renewals with these charterers with CMA CGM, although it is too early to go into any detail.  I would note, however, that although spot charter rates remain low, we have seen some modest improvement since our last earnings call middle of March when I indicated that prevailing rates were approximately $8,000 a day.  Recently in the market, comparable ships to these two have been fixed at rates of approximately $10,000 a day and we believe that the trend will continue to be modestly upward.
 If we were to charter these two vessels at today’s prevailing market rates - $10,000 or so - they would between the two of them generate annualized EBITDA of about $1.4 million versus approximately $14.8 million under the existing charters.  However, any negative cash impact on 2013 from renewing at lower rates would largely, if not totally, be offset by the positive effect of the expiring of $253 million worth of interest rate swaps in March 2013 and from five fewer planned dry-dockings in 2013 than in 2012.
 Slide 6 is new.  The top half of the slide shows the significant improvement in freight rates out of China, particularly on the trades into the Mediterranean and into northern Europe as the liner companies have successfully implemented a series of general rate increases commencing March 1, 2012.  Although the main focus to date for freight rate increases has been on these Asia-Europe trades, rate increases are also being implemented successfully on the trans-Pacific and selected other trades around the world.
 Liner operator financial performance in Q1 2012 as reported so far has been poor due to low freight rates which haven’t benefited from the GRI’s I’ve just mentioned and from seasonally lower volumes; however, as a consequence of these GRI’s and as volumes build into the seasonally stronger period, all other things equal, we would expect liner companies’ financial performance to improve from Q2 this year.
 The lower half of the slide shows on the left the development of bunker prices over the last 10 or 11 years, and on the right the evolution of slow steaming from mid-2008 when bunker prices started their significant upward trend.  You can see that the average speed of the world’s merchant fleet continues to decrease.  We believe that slow steaming in the high fuel cost environment is here to stay; and remember, that slow steaming absorbs capacity.
 Just turning to CMA CGM, we can’t speculate on the current position or financial strength given they haven’t issued any financial statements or press releases on results since the freight rates began to improve.  However, to remind you, although their full-year 2011 results were significantly down on 2010’s record year due to industry conditions, they outperformed pretty much all of their peers, reporting full-year 2011 revenues of nearly $15 billion and an EBITDA of $711 million on volumes of just over 10 million TEU, which represented an 11% volume growth above the average of 7.6, being the estimated trade growth for 2011.  They continue to pay our charter hire in full, albeit with a delay, and have never sought to renegotiate the terms of the charters.  Right now as we speak, two periods of hire are outstanding.
 Slide 7, 8 and 9, you’ve seen before and look at overall supply and demand, sub-analyzing into the main trade lanes and into vessel size categories.  The picture remains generally the same as in the last couple of quarters, Slide 7 showing supply and demand fundamentals since 2000, together with world GDP growth and an index of the time charter market.  This continues to suggest in the medium term out for overall supply and demand is favorable.  Forecasts for demand growth continue to exceed those for supply growth, although compared to previous quarters the gap is narrowing.  That said, there continues to be an oversupply of very large container ships which tend to be deployed in the Asia-Europe and the Asia-Mediterranean trade lanes, and that oversupply caused the significant downward pressure on freight rates in 2011.
 Against this backdrop, it’s encouraging that the recent substantial general rate increase is in these trades, in some cases more than doubling and even tripling previous rates are holding.   Furthermore, you can see from the time charter index at the top of the slide that charter rates in the spot market are beginning to inch up.
 Slide 8 shows that the fastest growing trades are in the north-south, non-main line arterial trades and in intra-regional trades such as intra-Asia with growth rates of approximately 9% or so.  Collectively, these trades represent around 70% of global containerized trade and tend to use small and midsized container ships, a segment that we are particularly interested in as our vessels are largely in this category with 15 of our 17 ships being small to midsized, including the two ships which come up for renewal towards the end of this year.
 Slide 9 provides an overview of the composition of the existing fleet and the order book, and it’s worth highlighting that at 25%, the ratio of the order book to existing fleet capacity is at its lowest level since May 2003.  In addition, the data suggests that the midsized segment is proportionately under-booked with a relatively small order book.  For example, 2,000 to 5,000 TEU vessels represent only 18% of the order book while accounting for 38% of capacity on the water today.  Given the forecasts of growth in the trades favoring small to midsized vessels and the limited forecast supply growth, we remain hopeful for improved charter rates and asset values for our fleet in due course.
 Before turning the call over to Susan, I’d like to remind you that last year we negotiated an agree to waiver with our lenders until November 30, 2012 from the loan to value test which would otherwise be required under our credit facility last November and also at April 30 this year.  The covenant says that our ratio of outstanding borrowings to the aggregate charter free market value of the secured vessels cannot exceed 75%.  We continue to reduce our debt on a quarterly basis but will need to see an improvement in charter free market values over the next few months, otherwise a further waiver or other relief might be required.  However, the next test is still over six months away, the industry is very volatile, asset values and charter rates can improve dramatically over short periods of time, and we simply can’t predict where our assets will be in October-November.  It’s also important to remember that asset values have no impact on our operating performance.
 I’ll now turn the call over to Susan. 
Susan Cook: Thank you, Ian.  Please turn to Slide 11 for a summary of our financial results for the three months ended March 31, 2012.  With all of our vessels operating on a fixed rate contract, we generated revenue of $38.4 million in the first quarter, impacted primarily by 45 days off-hire which were for three planned dry-dockings, partially offset by 17 additional ownership days owing to 2012 being a leap year.  This result is down slightly on revenue of $39.1 million for the comparative period in 2011 in which there were only three days of planned off-hire.
 Utilization for the first quarter 2012 was 96.8% versus 99.8% in 2011.  During the first quarter, we completed three dry-dockings and have four more scheduled to be completed in 2012.  However, we only have two in each of 2013 and ’14 and none in 2015.  With the lighter dry-docking schedule, our results over the next three years will be less affected by planned off-hire days.
 Vessel operating expenses were $11.7 million for the first quarter of 2012.  The average cost per ownership day was $7,535, up $199 or 2.7% on $7,336 for the rolling four quarters ended December 31, 2011.  The increase is mainly due to planned increased spend on maintenance.
 Interest expense, excluding the effect of interest rate derivatives which do not qualify for hedge accounting, for the three months ending March 31, 2012 was $5.5 million.  During the first quarter, the company’s borrowings under its credit facility averaged $483.6 million and with $48 million worth of preferred shares throughout the period, total average borrowings were $531.6 million.  The company’s derivative hedging instruments gave a realized loss of $4.5 million in the three months ended March 31, 2012 for settlements of swaps in the period as current LIBOR rates are lower than the average fixed rate.  Further, there was a $2.6 million unrealized gain for revaluation of the balance sheet position given current LIBOR levels and movement in the forward curve for interest rates.
 At March 31, 2012, interest rate derivatives totaled $580 million against floating rate debt of $519.8 million, including the preferred shares.  As a consequence, the company is over-hedged, which arises from accelerated amortization of the credit facility debt as well as not incurring additional floating rate debt which had originally been anticipated to be drawn in connection with the purchase of two 4,250 TEU vessels at the end of 2010.  $253 million worth of the interest rate derivatives, all at a fixed rate of 3.4%, will expire mid-March of 2013.  Once these interest rate swaps expire, we will be paying a floating rate based on LIBOR on the unhedged portion of our debt, enabling us to take advantage of what we expect to be a lower interest rate environment.  In addition, there will be interest savings from lower overall debt as amortization continues.
 Net income for the first quarter was $8 million, including the $2.6 million non-cash interest rate derivative mark-to-market gain.  For the three months ended March 31, 2011, net income was $10.8 million including a $5 million non-cash interest rate derivative mark-to-market gain.  Normalized net income adjusted for the non-cash items was $5.3 million for the three months ended March 31, 2012 and $5.9 million for the comparable period.
 Slide 12 shows the balance sheet.  Key items at the quarter-end include cash at $30.1 million; total assets of $937.5 million, of which $883.8 million is vessels; total debt of $519.8 million, including the preferred, and shareholders’ equity of $342.3 million.  In addition, the balance sheet position of our interest rate swaps was a liability of $42.6 million.
 Slide 13 shows our cash flow.  Main items to mention here are cash provided by operating activities of $8 million in the first quarter, capitalized expenditures on dry-dockings in the quarter was $1.5 million.  Finally, as Ian mentioned earlier, we repaid $11.8 million of our credit facility in the quarter, giving us $127.3 million reduction in debt since commencing amortization of our credit facility balance in Q4 2009.
 I would now like to turn the call back to Ian for closing remarks. 
Ian Webber: Thanks, Susan.  I’ll conclude our remarks with Slide 14, which summarizes our strong position to provide shareholder value over the long term.  First, the operating environment for the liner operators including CMA CGM, our customer, is improving from substantial freight rate increases.  Second, our business model based on long-term fixed rate time charter contacts insulates us from short-term volatility.  We’ve got contracted revenue of $1.2 billion over an average of eight years on a weighted basis, and have got only two charter renewals in the next four, four and a half years.  Third, with no debt maturity until 2016 and no purchase obligations or commitments, we have no near-term exposure to financing or refinancing risk.  Fourth, we continue to pay down debt with our sizeable cash flow to significantly reduce our debt and strengthen our balance sheet.  Fifth, although we do have exposure to the two charter expiries later this year, we have fewer dry dockings scheduled over the next three calendar years - 2013, ’14 and ’15 - and with a significant proportion of our interest rate derivatives expiring early in 2013, there will be a beneficial effect to our cash flow over the next coming years.
 Finally, we continue to work to support our value for the benefit of our shareholders by aggressively paying down debt and maintaining a stable and predictable business model.  We believe that this will enable the company to reintroduce a dividend payment when we are firmly in compliance with our loan to value covenant and are able to provide sustainable dividends over the long term.
 I’d like to hand back to the operator who will explain the Q&A process.  Thank you. 
Operator: [Operator Instructions] The first question comes from the line of Zach Pankratz of DRZ. 
Zach Pankratz: I just had a quick question on the rate that you gave.  You said they’ve moved from $8,000 per day to $10,000 per day on similar ships to the two that are coming off contract in late 2012. 
Ian Webber: Yeah, that’s right. 
Zach Pankratz: And is that $10,000 per day, is that based on a one-year charter? 
Ian Webber: It was six months, I think. 
Zach Pankratz: So essentially—I mean, you guys wouldn’t be looking to do—or maybe you would, a six-month lease, but essentially if you guys did a longer term lease with CMA CGM, you would be getting a much higher rate than that $10,000 per day if you did, say, a 9- to 12-year like you’re normally done? 
Ian Webber: Well, let me answer that in a slightly different way.  I think I don’t really want to get into specifics on these two ships.  Normally when the market is soft, as it is today, fixings of relatively short periods of time - six months, nine months, maybe a year.  When the market is very firm, then fixings in the spot market tend to be for longer periods of time - you know, two, three, maybe four years.  Ordinarily, I would expect us in a market like it is today to renew or extend or re-charter for a relatively short period of time. 
Zach Pankratz: Yeah, okay.  I’m just trying to get a sense of the sensitivity that you said from $14.8 million to $1.4 million.  If you guys did do something longer term, it would probably be higher than the $10,000, which makes the $1.4 million kind of your low case scenario? 
Ian Webber: Well, it could be.  I mean, the math is reasonably straightforward for—I think as we said last time, for every $1,000 change in charter rate for these two ships, that’s $700,000 of revenue and EBITDA in a year.  Longer term charter rates tend to be lower than shorter term charter rates because they are less risky is all I would say. 
Zach Pankratz: Okay.  And then as far as asset prices, are you seeing anything out there?  We’re getting a little bit of pickup in the charter market.  Obviously, that would be a positive sign for asset prices.  I know the S&P market is pretty dry right now.  Are you guys seeing anything out there that points to a better environment for asset prices? 
Ian Webber: Well, you’re absolutely right - ordinarily you would expect a stronger charter market to reflect in improved asset values, although there is normally a lag.  We are seeing improvements in the spot rates, although it’s not terribly dramatic as the chart on one of the slides in the presentation indicated.  It’s sort of trending upwards rather than going upwards in any dramatic fashion.  There are very few real willing buyer, willing seller S&P transactions at the moment.  Most transactions are distressed, for whatever reason, that the exit of the Malaysian carrier, MISC, which was announced back end of last year and their disposal of a dozen or so owned vessels in the market as a bit of a fire sale, and this has caused some disruption.  But if charter rates continue to improve, then yes, we would expect over time asset values to improve as well. 
Zach Pankratz: Okay.  And then my last question would probably be for Michael - I mean, what type of scenario is the Board looking at from an LTV perspective?  You know, obviously your debt amortization is accelerating on a percentage basis, and looking at the Clarkson second-hand price index, prices right now are only about 10.6% higher than the troughs of 2009.  Are you guys kind of putting—what type of level of asset prices are you guys looking at, to the point where you’re comfortable with the LTV, say, at 75% with the debt being paid down going into the end of 2012 and 2013? 
Ian Webber: I’m afraid Michael’s not on the call; he couldn’t make it today, although he will join calls in the future.  That’s a really difficult question to answer because as you know and as we said last time, there are two elements to the loan to value ratio - the loan part and the value part.  We don’t do a great deal about value.  We can at the margins do something about the loan element, and a big ticket change to the loan element would be raising capital and repaying debt to bring the outstanding balance down.  We do actively look at the capital markets.  We do look at every and all opportunities to raise capital, but we’ll only proceed if it’s in shareholders’ best interests.
 As to when or what level of asset valuation would we require for the Board to be comfortable reinstating a dividend, which may be the thrust of your question, we’ve not had that debate.  It’s moot at the moment. 
Zach Pankratz: Okay.  I’m just looking at the cash flow that you guys have, and if the asset prices went nowhere into the end of 2012, if they remain flat, just based on your debt amortization you guys should be able to reach that 75% level by the end of 2012; and then if you do get asset prices a little bit higher, then obviously that’s in your favor.  But I’m just trying to get a sense of are you guys looking at an LTV of 60% to not only get the interest expense savings but also it gives you more comfortability on the dividend.  And the reason I ask this is not only would it be a big positive for Michael Gross’ stake - you know, owning 20% of the company - CMA CGM would also benefit from a dividend.  But you look at the charter, other of your peers in the market, they trade at a significant premium on a price to NAV, those that pay a dividend versus those that don’t. 
Ian Webber: Sure, we understand all of that, Zach, and I can only reiterate what we’ve said on previous calls - that the Board and management is committed to reintroducing a dividend just as soon as possible.  We need to be firmly in compliance with that loan to value test because we want a dividend to be sustainable for the long term.  We don’t want to turn it off and turn it on; that would be very bad for the stock, I would suggest.  I did say in our prepared remarks earlier that notwithstanding paying down debt, we will need to see an improvement in asset values over the next few months for us to pass loan to value at the end of November this year.  Now, that may well happen.  The market, as we know, is very volatile and asset values, charter rates, freight rates can respond very positively and very quickly.  But as things stand right now, as I’ve said, we will need to see asset values improve. 
Operator: Our next question comes from the line of Chris Snyder of Sidoti & Company. 
Chris Snyder: Has there been any recent transactions that we can kind of look at to see what the prices of these vessels are kind of trending at, or their current price? 
Ian Webber: Not that we would consider comparable. As I said, we’ve got these fire sale assets out of the Malaysian carrier.  Some German owners are selling very small feeder ships to clear out their books, so to speak.  There’s not a lot of comparable transactions at the moment. 
Operator: [Operator Instructions]  Your next question comes from the line of Jay Harris from Goldsmith & Harris. 
Jay Harris: Ian, what are—who are your significant bank lenders? 
Ian Webber: There are seven banks in the facility.  I’ll try and get them in order of participation:  DNB, SMBC - a Japanese bank, ABN AMRO, Citi, KFW - German, Bank of Scotland, and HSH.  Seven banks, all at least historically, traditionally strong shipping banks that understand the sector. 
Jay Harris: Given the sovereign turmoil in continental Europe, do you think we have any exposure? 
Ian Webber: No, I don’t. 
Operator: There are no further questions at this time.  I now hand the conference back to Mr. Ian Webber. 
Ian Webber: Thanks.  Thanks everybody for listening; thank you for your questions.  We look forward to giving you a further update on the company and particularly on the charter renewals for our second quarter call, which will be in August.  Thank you. 
Operator: Thank you.  That does conclude the conference for today.  Thank you for participating.  You may all disconnect.